Operator: Greetings and welcome to the Sovran Self Storage Second Quarter 2016 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Diane Piegza, Vice President, Investor Relations, for Sovran Self Storage. Thank you. You may begin.
Diane Piegza: Thank you, Melissa and good morning everyone. Thank you for joining our second quarter 2016 earnings call. Leading the call today will be David Rogers, Sovran’s Chief Executive Officer. Also participating are Andrew Gregoire, Chief Financial Officer, Ed Killeen, Chief Operating Officer and Paul Powell, Our Chief Investment Officer. As a reminder, the following discussion and answers to your questions contain forward-looking statements. Our actual results may differ from those projected due to certain risks and uncertainties with the company’s business. Additional information concerning these factors is included in the company’s SEC filings. At this time, I will turn the call over to David.
David Rogers: Thank you, Diane. Good morning everyone and welcome to our call. As you know, we had a very busy quarter, what with underwriting and negotiating a large storage transaction, a large equity offering, our inaugural debt offering and then developing a plan to rename our company and rebrand our stores. All of this came on the heels of a very active first quarter, wherein we acquired and integrated over 2,000 new properties, including nine in Los Angeles which was our very first foray into that market. So we were busy, but it was good. On the operations front, we have encountered a bit of a mixed bag. Occupancy has pretty much held or grown a bit across most markets. We improved this year’s level by 30 basis points over last year’s Q2. The percentage of customers staying with us longer than one year has never been higher and rate increases to inflate tenants are being implemented at a healthy pace. We came out of a strong Q1 to post a very solid April and we’re optimistic as we enter peak leasing season. We’ve said for years that you really can’t tell how the year will go until you see how much you can push rates in the busy months, May through September. Around Memorial Day, certain markets had potential new customers pushing back on street rates and our redman group saw our competitors in those areas dropping their rates and boosting incentives. But it’s a very market-specific game and in many cases, it’s micro-market-specific. For example, it’s been booming business as usual in Atlanta, Tampa, Phoenix, Chicago, Charlotte, San Antonio and virtually the whole of Florida. These markets all showed same-store revenue gains of 7.5% or better this quarter. No problems getting rate growth from both in-place and new customers in these markets, but we’ve seen some slowdown, even from Q1 to Q2 in New England, Buffalo, New Orleans and Cleveland. For the most part, the underperformance in these areas was an inability to really push street rates, starting late May and into June. Austin was also slow, it’s a bit of a case, it’s the one special case, it’s the one market in our portfolio whose decline is primarily attributable to new competition coming online. Houston slipped a little bit under our expectations with its hot line coming in at 4.9% over the last year. We’re actively working to hold on to occupancy there and it grew 30 basis points this quarter over 2015’s 2Q, but we’ve had to use incentives and that lowered rates from April to June. We think we can hold on to somewhat slowing macroeconomic issues there, but we’re fighting some new supply as well. Despite the current challenges in Houston, long-, even medium term, it’s a great market for storage. It’s soon to be the third largest city in the country and it presents a perfect dynamic for our business, growing, transient, ripe with change and with a ugly fact that cries out for additional [indiscernible] space. We’re good with Houston. I’ll note again this quarter that or overall same-store growth suffered somewhat in comparison to some of our weak competitors, in that we only have 20% of our same-store on the West Coast. We’re working to fix that and as of now we have about two dozen properties in California and they’re already performing pretty well for us. They don’t join our same-store pool until 2018, so we continue to be on the outside looking in at an incredible double-digit growth party. But these stores will nonetheless grow well for us, even if it’s outside the same-store metrics and make a strong contribution to our FFO. Except for Austin and parts of Houston and a smattering of other areas, we don’t think new supply is a big issue and should only be a temporary setback at worst to those stores immediately impacted. We don’t think the softness in those markets experiencing lower growth rates this quarter is due to weakening demand. Our organic and paid search traffic is significantly higher year-over-year. But our close rate did slow in June on prospective new customers which caused the revenue management team to call for lower rates and increased incentives in those markets. So as a result, we think it prudent to reduce our revenue expectations for our same-store pool by 100 basis points at the midpoint of the quarter coming up and 50 basis points or 6% at the midpoint for the full year 2016. Some of the markets we’re in have enjoyed good strong rate pushes for several years and now we see some customer resistance to what they perceive to be pretty high rates. We’ll see growth, but not at quite the levels we’ve enjoyed. I guess that’s one consequence of 20-some quarters of consistent outside revenue growth in noninflationary times. So while we’re on the quantitative side of the story, we’ll let Andrew give some more of the details and then I’ll come back and talk about the big picture impact of some of our recent activities. Andrew?
Andrew Gregoire: Thanks, David. Last night, we reported same-store revenues increased 57% over those of the second quarter of 2015. The drivers behind the revenue growth were a 30-basis-point increase in average occupancy and a 5.2% increase in rental rates. Same-store occupancy at June 30 matched our June record high set in 2015 at 92.7%. Same store property operating expenses increased 3.2% for the quarter; this was a result of increases in payroll, property taxes and internet marketing which were partially offset by savings in insurance and utilities. As a result, our same-store net operating income increased 6.8% for the quarter. G&A costs were approximately $400,000 higher this quarter over that of the previous year. The main reasons for the increase were additional payroll and legal fees which were partially offset by reduced taxes on our [indiscernible] subsidiary. We were very happy with our balance sheet this quarter. We issued 6.9 million common shares through an equity offering in May, resulting in net proceeds of approximately $665 million. In addition, we had a very successful inaugural 10-year public bond offering of $600 million at a better than expected 3.5% interest rate. The issuance of the equity and the sale of the bonds in May and June resulted in significant cash balance of $900 million at June 30 and resulted in a $0.09 per share dilution in the second quarter. This was necessary as to be certain we had the cash for the acquisition of Life Storage which occurred as expected, with no delay, on June -- on July 15. We went back to the market in July with a private placement of $200 million of 12-year notes at a very attractive 2.67%. What may have been missed in all the activity were the amendments we made to our private placement notes which modified to remove some restrictive covenants and brought those other notes in line with the market. So we were active in the net equity market and we went a little out of our comfort zone for funding the Life Storage acquisition with 50% equity. This was possible because of our conservative balance sheet. And going forward, you’ll see us return to our typical funding strategy. With regard to guidance, same-store revenue growth for Q3should be in the 5% to 6% range and NOI around 5.5% to 6.5%. Expenses outside of property taxes should increase between 2% and 3% for the quarter. Property taxes are forecasted to increase 5% to 6% over 2015 levels for Q3. And our annual property tax expense increase are expected to increase between 6% and 7%. Our guidance assumes an additional $20 million of accretive acquisitions are completed over the remainder of 2016. We have not included in guidance the related costs incurred to-date or that could occur related to those acquisitions. Those acquisition costs will be significant in Q3, with the Life Storage acquisition costing being $32 million to $33 million. This includes significant [indiscernible] cost, transfer taxes and other typical closing costs. Our underwriting of the Life Storage acquisition modeled a G&A increase of $2 million; therefore, our guidance for the remainder of the year includes half that or $1 million of additional G&A. I mentioned during the balance sheet discussion that we incurred $0.09 per share of dilution in the carry costs of the debt equity rating for Life Storage. Q3 will have an additional $0.05 of drag, just for the 14 days that we carried that funding before the acquisition occurred. As a result of the above assumptions and other items noted in the press release, our revised [indiscernible] guidance for the full year 2016 is expected to be between $5.30 and $5.34 per share and between $1.37 and $1.39 per share for the third quarter of 2016. And with that, I’ll turn it back to David for a few additional comments.
David Rogers: Thanks Andrew. I thought it might be pretty helpful to review some of the changes we’ve made to the company over the last few quarters. In the past 18 months, including July, we’ve acquired 140 high-quality properties in major markets; 97 of these are infill stores, adding to our presence in the New York metro area, Chicago, Miami, the big four Texas cities, New England and Orlando. Thirty-nine of these newly acquired stores are in the new markets of Los Angeles, Las Vegas and Sacramento. And we’ve already achieved sufficient scale in each of these three cities. Compared to our in-place portfolio, these new stores are newer, larger, equipped with third-generation amenities and in markets with much greater populations and density. Further, the rental income per store is considerably higher than that of our existing stores which allows for greater G&A efficiencies and market scale benefits. We’ve also sold 12 stores in that same 18-month timeframe, small, older properties in markets that, for the most part, are smaller density and remote enough to be inefficient for us to manage. These include several in Lynchburg, Virginia and stores in Greenville, Mississippi, Kingsland, Georgia and Anderson and Florence, South Carolina. We raised almost a billion dollars of equity in 2015 and 2016; we increased our line capacity by $200 million, improved our credit rating to triple D, BAA2 and we negotiated away most of the bothersome covenants on our 2021 and 2024 term notes. We recently raised $600 million by issuing our first series of 10-year unsecured public bonds, at a rate of 3.5%. We followed that with a $200 million private placement offering of unsecured notes at a rate of 3.67%. We’ve been raising and expect to continue raising our dividend which is well covered with an above-70% payout ratio. Even so, our cash flow generated by operations, after paying the dividend, should be in excess of $75 million next year. So we enter the second half of 2016 with a larger, stronger and more diversified company than we had at this time last year. Our capital structure is greatly improved, our debt cost significantly lowered, our covenants are significantly relaxed and our loan tenures are significantly extended. The portfolio has been upgraded both in quality of markets and quality of properties. There’s an expensive upside in most of the 140 stores acquired during 2015 and 2016, especially the 11 lease-up stores in the Life Storage portfolio and the nine NCO properties that we’ve put in place. The upcoming name change and rebranding the Life Stores will afford us a long-sought opportunity to improve our image, most beneficially and recently entering upscale markets such as LA, Chicago and the New York metro area. We expect it will also help us attract more third-party management contracts and enhance our business to business logistics sales efforts. We realize there’s a lot of noise associated with the activity, as evidenced in this Q2 earnings report. Unfortunately, there’ll be more of the same in Q3. We’re doing our best to identify and break out the unusual and one-time items associated with the Life Storage deal, the financial transactions, the name change and the sale of the eight assets and related investment of the proceeds. We expect that by Q4 of this year and on into 2017, we’ll be back to our usual straightforward model and structure. Everyone here at the company is really charged up at our upcoming plans and prospects, especially concerning our recent entry into California, the Life Storage acquisition and the rebranding. To paraphrase the great Joe Walsh song, life’s been good to us so far. With what we’ve accomplished this year and what we have now to build on, we expect life to be so for years to come. So Melissa, let’s now open the lines for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jeremy Metz with UBS. Please proceed with your question.
Jeremy Metz: Hey. Good morning, guys. You talked about the challenge on just pushing rates in spaces this quarter. It sounds like it more of a demand and renter fatigue issue here versus supply. I guess, first, is that a fair characterization and then, second, if you were to look out the rest of this year, would you be more focused on holding occupancy and maintaining market share first and foremost, especially during the slower winter months, even if it means cutting rates and ramping [indiscernible]?
David Rogers: In regard to the first part, Jeremy, yes, that’s true. There is new supply here and there but that is not an issue except in Austin.
Edward Killeen : I guess that the first thing that we might want to look at and David mentioned it in his remarks is that there are several markets, many of our markets where rates are very stable or very strong for that matter; the Florida market, Arizona, the Carolinas, many of the Gulf Coast markets, Dallas, some down phase areas, Atlanta. As a matter of fact, in Atlanta, our asking rates are up 12.8% right now. There remained quite a bit of a rate grind. There is a bit of softening in some areas, there’s some rate sensitivity, right now it’s pretty market specific. But that does -- is not at all related to demand. Demand remains very healthy, our overall demand online, in overall search is up 44% organic search is up 27%, mobile search is up 35% so the people are still there, potential customers are still there, they’re needing storage. So those two really are completely unrelated. Demand is there, there is a bit of rate activity.
Jeremy Metz: And just then, in terms of the second half of the year, how are you thinking about these main drivers of revenue and is the focus going to be on holding that occupancy then at these levels first and foremost?
Edward Killeen : Well, you know, as it always is, it’s really a market specific exercise, what we do in blending rate and discount in order to meet that occupancy. So there’s a quite a bit of push and pull. So as we’ve often said, revenue management is just that, it’s managing our revenues no so much rate or discounting or occupancy, whatever the blend is to get to higher revenue is what we’ll be looking at on a market by market basis.
David Rogers: I think probably though, as we scale down the busy season, we’ll work more toward occupancy going into 4Q and that lever might go up -- more incentives to build occupancy.
Edward Killeen : Thirdly, obviously we’ll be going into the low season, you try to build that occupancy and just like any other season, we’ll be attempting to do that.
Jeremy Metz: I just want to ask one more on Sacramento, as one of the new markets you picked up, the Life Storage deal. Can you talk about how that market performed on the same-store basis, if you have the stats, the yearly data last year when it was under Life Storage, kind of what your expectations are there going forward.
Andrew Gregoire: Hi Jeremy, it’s Andrew. Let me pull that out. I’m sorry, I do believe I have that here for Sacramento. Life Storage, Sacramento, same-store, was in the -- just about 10%. So it was strong in Sacramento.
Jeremy Metz: Okay and you’re thinking somewhat similar, double digit growth there, so that’s sort of why your peers have been putting up in that market as well?
David Rogers: Yes, it’s been close in LA, the nine stores we took on, three Lifes and then the four we added from there - the three we added from there and the ten Sacramento stores -- there’s room. There’s room with rate, especially, it takes a quarter to clear out some of the chaff but, I think we’re going to see -- we’re going to enjoy for a couple of years of pretty strong growth in both the LA and Sacramento markets.
Jeremy Metz: Thanks, guys. I appreciate it.
Operator: Thank you. Our next question comes from the line of Gwen Clark of Evercore ISI. Please proceed with your question.
Gwen Clark: Hi, good morning. I realize it’s only been a couple of weeks since the deal closed, but can you just give us an update on Life Storage?
David Rogers: The integration?
Gwen Clark: Yes. Specifically, maybe, whether there are any surprises incurred in the quarter or post quarter?
David Rogers: Okay, well, I guess I’ll lead off with there’s no surprises just yet, things are moving along splendidly, we recently are turning to system integration and management team simulation. The management team at Life Storage, they’ve been great in helping us with the whole transition and, I’ll tell you, if it wasn’t for them and their willingness to work with us and pretty much open up their whole books and allow us to get in there with our management team, the picture would look much different. So our management teams are through 18 of 21 days of manager training and webex sessions, discussions, we’ve got onboarding teams entering the markets right now as a matter of fact because come August 8 is when we turn all the stores over to our operations system, website and call center. And all the work leading up to that, it has gone flawlessly; internally everyone’s been hitting it and no major issues.
Gwen Clark: Okay. I guess just on August 8, is that [indiscernible] name change and, if so, can you walk us through you’re going to do it across the portfolio?
David Rogers: In regards to the corporate name, Gwen, we're going to change the name officially on August 15 to Life Storage, Incorporated. The ticker symbol will change to LSI that day. And we’ll be operating as Life Storage, Inc. with regard to the rollout in the store level, the rebranding of it, Eddy talked about the schedule for that.
Edward Killeen : Yes, the branding process is going in about nine stages and the primary stages are really based on exterior signage, looking at an engagement of this large with so many moving parts, the interior branding of the store moved along as quickly as we can, in various markets, but the [indiscernible] brand name we have staged in a very specific way from market to market, right through until April, we should be finished April of 2017 of all store branding, interior, exterior, online, everywhere.
Gwen Clark: Okay, very helpful. Thank you very much.
Operator: Thank you. Our next question comes from the line of Smedes Rose of Citigroup. Please proceed with your question.
Smedes Rose: Do you put the dilution expected for Life Storage this year maybe a little more than maybe what you had initially anticipated? I wanted to know if that is accurate and given that you’re seeing, it looks like a fair amount of push-back that you pay on rates, do you expect the acquisition could be more diluted next year than you had initially anticipated?
Andrew Gregoire: It’s Andrew. Our dilution is better than expected. We expected $0.05 in the second half of 2016, probably $0.03 in the third quarter, $0.02 in the fourth quarter. Our 2017/18/19 [indiscernible] looked at financing at 2017 looking like $0.02 dilution, 2018, $0.05 accretion, $2019, $0.15 accretion. So it’s very similar to what we thought, adjusted a little bit to the financing.
Smedes Rose: Is that an assumption you’re making on pricing or stabilizing in order to catch up to those numbers.
David Rogers: Well, I think what -- the second half of your question sort of leads into that which is are we expecting pushback? I think the pushback comes from our seasoned stores, where our rate structure is pretty high in the markets where we’re having difficulty. And as Ed pointed out and as I pointed out, it’s only on some of them. Certainly the stores that we take over have a greater run rate in the early years. So we expect to be on plan in Las Vegas, in Sacramento, in Los Angeles. We expect that the stores we have in Chicago to do well. We love those stores and they’ve been under our operating metrics in terms of rate per square footage -- especially in terms of premium space, the Life Storage portfolio, I think that a lot of room to grow wherever it has premium spaces. So the underwriting assumption that we put in place back in May when we were looking at this have not really changed even though some of our markets have been getting the rate push. I don’t think that’ll happen to stores where we’re in our first or second or third year of management on our platforms.
Smedes Rose: You mentioned in your opening remarks that you have more customers that are staying for more than a year. What percentage of the customer base is now staying for over a year?
Edward Killeen: Sixty percent over 50% of our customers stay with us over a year and at the two-year point, it’s just over 44%.
Operator: Our next question comes from the line of David Corak of FBR Capital Markets. Please proceed with your question.
David Corak: Hey, guys, looking at your C of O pipeline, the last update that we had, I think, in your investor presentation was weighted average yield in the high 7% range. Do you still think you'll achieve that? And then in terms of any update for your overall appetite for additional deals -- I know you said you had a few in the works for 2017 but just looking for some color there.
Paul Powell: Yes, our C of O deals, they're leasing up stronger than we underwrote. We're very pleased with how they've been doing, both top line and occupancy. We're still looking at C of O opportunities. We're going to be very selective. The second half of this year, we're going to be mainly focused on accretive acquisitions. So we may do one or two. We're looking at a couple. We're also working, again, with some development -- preferred developers and doing some CO deals and JVs. So we'll still continue to look at them. Buying them into south directly. They're going to have to be homeruns before we'll consider those, though. It's still active. We're just going to be very disciplined.
David Corak: And then can you talk about the lease-up velocities on the 11 LifeStorage assets that you bought in lease-up and how are those going? And then do you ever give a breakout of, kind of, timing there as far as when those look to stabilize?
David Rogers: Yes, David, those stores lease up nicely as of two days ago, a few days ago, July 31st, I should say. The occupancy on those 11 lease-ups was at 66%. That includes the ones that were zero when we last talked. So I think the lowest one right now is 24%, so they're leasing up nicely. They did use, obviously, a lot of specials and discounted rates to get there, but the occupancy is mounting up nicely.
Operator: Our next question comes from the line of Todd Thomas of Keybanc Capital Markets. Please proceed with your question.
Todd Thomas: Hi, thanks, good morning. My first question, you talked about competitors reducing rates and offering more discounts in a number of markets which impacted conversions in your system. Any sense what the magnitude of the rate cuts were in those markets and maybe how far below your asking rates the competition was in those markets?
David Rogers: You know, Todd, it's difficult to get a handle on precisely what our comps are doing with discounting and standard rate, for that matter. We just have to be aware of it. We know that the comps have been a bit more aggressive than they have in the past. And while we certainly want to be out, you know, we're on the lookout. We take a close look at what's happening out there, but our job is to, kind of, execute our revenue management plan. And one of the things, one of the levers that does exist, one of the components of RevMan is the comp rates, but it's only a small component, but we're keeping a close eye on things, so we can tell you precisely what kind of impact the rates we're discounting have on our performance.
Todd Thomas: Was the competition -- did you find that it was lower on existing stabilized facilities or was it mostly lease-up properties or new developments, I guess, where you saw some of the more competitive rates being offered?
David Rogers: Certainly, you're going to see it wherever there's development and we did see that in Austin, especially which impacted three or four of our stores. There, you just have to sort of sit out and hang onto your existing customers which, fortunately, we've grown that base. That's been a strategy of ours now for a good three-plus years. Hang onto that core base of, as Eddie said, 60% or better that have been there a year. And, you know, as you lose through normal attrition, that's where you [indiscernible], that's where you put -- you know, we haven't seen full-month discounts in a good long time. We're still not there with most of our stores, it's still a half-month. But nonetheless, anytime you pull that lever after a few quarters of not having pulled it at all, you're going to see a little bit of an impact. The lease-up ones are going to sit back and just wait it out and I think the larger operators do that. They are both the cause and feel the pain of that in various markets. But I think it's the markets where there's established stores and, all of a sudden, customers are looking at us in some of those places. Like, here in Buffalo or in Cleveland and saying, "Jeez, you guys are getting that for this?" And it's the first-time person coming in and they may be more prone to shop. It's not unlike most of our history. It's just that we've been spoiled the last five-plus years in terms of pretty much we get what we ask and now we're seeing, we're getting questioned, I guess, would be one way to put it. But I think most of the difficulty is from established and stabilized stores and not from new comps.
Todd Thomas: Okay and, you know, you talked about the length of stay and you mentioned that it's never been longer and that, you know, existing customers continue to endure rate increases here. But I'm just curious how you think about the existing customer rent increases that you pushed through, given some of the customer resistance. Does it cause you to sort of change your policy at all regarding either the rate increase being pushed through or just the number of customers that you're planning to send increases to?
David Rogers: You know, for the last several years and it doesn't appear we're going to have trouble in the near future with customer retention. You are right when you say there are customers able to endure these rent increases. This quarter we put in more rent increases to existing customers than ever before -- 29,000 increases went in and the move-out rate was at 11.3% versus 12.5% last year. And they've received a pretty hefty rent increase as well. So retaining those customers that truly need storage, really has been a non-issue and we don't see it becoming an issue in the near future.
Operator: Our next question comes from the line of George Hoglund of Jefferies. Please go ahead.
George Hoglund: So a couple of questions, I guess, first of all is how much of a negative impact will the re-branding process have on same-store NOI growth in the near term? And then also just in terms of focusing more so on the third party management business, sort of, what's driving that decision since, you know, in the kind of recent past you guys haven't really been focused on growing it.
David Rogers: Yes, with regard to the near term impact on ordinary operations, there's always a little haze that happens even when we take over a store. It used to be an awful lot worse with the Yellow Page and you had to wait for the store's name on the sign to catch up with the customer point-of-sale was. Fortunately, we don't have that anymore and the Web marketing team has been studying this ever since May 17th when we got awarded the bid -- how to handle this. And it goes hand-in-hand with the sign change the image change at the stores. So the rollout will be, as we change signs, the concentration of Web marketing will occur in those markets simultaneously. We're fortunate with LifeStorage in that it's an already-existing name and 55 of the stores that we bought from them are in markets where we already play, so we're not starting from ground zero with a new name and that should help. So I think, very short term, we might get a little bit of a hiccup. It will probably be more in Web spend than in occupancy or traffic. I think even near term after that and medium long term it should be a benefit. I think we've heard a little bit with the association, especially, as I mentioned in the higher-end markets like Greenwich and Stanford and Westchester County and Chicago, the nicer parts of Chicago and in a lot of places, our old name hurt us a little bit in that regard. Some of the studies we did showed some negativity, so we fooled around with some models and built some test cases just to see what, if we eliminate the 16% unfavorable associated with our name, what that would do. And, you know, you're really in statistician territory here with assumption based on pretty loose soil but, nonetheless, we think it should, over the course of a year to two, come up with something in the range of 70 to 125 basis-point pop in occupancy just be eliminating the negative connotations that 16% of our sample saw in the studies we did. So that part we're pretty hopeful. Third party management, we expect good things from. We show very well against our competitors in that class with regard to our platforms, our training, our people, the way we approach the business and we've had absolute rejections of our contracts solely based on the name. This is what got us going on the overall change. We started working on this a good two-plus years ago and just didn't have a name we could justify changing to. But I think third party management, we're going to do very well in because of this. I think the image at the store level and all the markets we're in will be enhanced and we're really looking forward to it.
George Hoglund: And will some of that near term weakness might increase Web spend and stuff, that all, I guess, impact expenses. Is that incorporated into guidance?
David Rogers: Yes, it's de minimis. I mean, we said $20 million to $22 million change. We've based the better part of $1 million in over the next three to four quarters for that. But it will be in the Web spend, yes. There's not an additional layer of guidance adjustment.
George Hoglund: Okay and then one last question -- just in terms of peers that are getting more aggressive on pricing and promotions. Is that primarily one larger peer or are you seeing that, kind of, across the board in those markets where you are seeing that competition?
David Rogers: Would that larger peer [indiscernible] stores?
George Hoglund: Yes.
David Rogers: They are pretty aggressive and they are -- we're everywhere they are -- or, no, they're everywhere we're and it's a noted challenge from them, yes.
George Hoglund: Okay, so it's primarily just them. It's not everyone else lowering brand as well?
David Rogers: I mean, there's not -- they'll follow even quicker, but they're harder to find and we don't compete as directly with them. So -- but, yes, I would say that's pretty much them.
Operator: Our next question comes from the line of Ryan Burke of Green Street Advisors. Please proceed with your question.
Ryan Burke: David or Andrew, can you quantify the main components of the 50 basis-point decrease in revenue guidance for us. About how much is attributable to lower expectations to rate the new customers versus in-place customers versus occupancy?
Andrew Gregoire: Most of it is related to rates for new customers coming in from additional specials being offered to those new customers. So that's where we think we're going to have to be a little more aggressive on the specials. We haven't seen that in years, but think that up-front special is what's going to drag it down.
Ryan Burke: Okay and then historically has rent pressure from new customers been a precursor to rent pressure from existing customers?
David Rogers: Yes, long term, I guess, yes. If you have enough of -- or for a long enough time, yes. That's why sometimes it's pretty good to use the special to attract customers, but then you get into that situation where the special attracts the shorter term stay guys. So you've got to balance what you're trying to achieve. You know, if you're street rates stay still for too long and you raise your in-place for a year or two, then you get into that flip situation where your in-place is higher than your street. We have not had that for a good long time. You can prevent that buy keeping the rates high and offering the specials, but then, as I say, you get those shorter term stay and we're really proud and it's been very beneficial to us to have gone the other way on that and attract the long-stay customers without use of specials. So it's a challenge for our RevMan Group. Certainly, it's not there yet and we hope it doesn't get there. We've got, probably, a good year or so before we worry about how much we can push the in-place. But right now it isn't an issue, but it's something that we certainly watch very carefully.
Ryan Burke: Okay, about how far above are your rates to new customers versus in-place right now?
Andrew Gregoire: 75% of our customers right now are below the current rate. So we still have a lot of room there. A majority of our customers are below the current rate and the averages are below is 2.5% below the current rate.
Ryan Burke: Okay, so it's really not too far below?
Andrew Gregoire: Correct.
Ryan Burke: It seems to me that there's an improved pricing transparency in self-storage in the sense that your customer can more easily go online and either see on your website or a competitor's website or an aggregated website where the rent they might paying versus market is -- does that worry you more now some than it has in the past?
David Rogers: You know, Ryan, I think it's a bit more of a concern. As we've always said, the smaller operators, it's more difficult for them to be seen online and that remains true when it comes to both organic and paid, because there's so much SEO that you have to be involved with and be engaged with in organic search and so full engagement is becoming so much more important and content building and location target marketing for mobile apps. So things are becoming much more sophisticated, so I think that will remain. But what can't be ignored is that, you know, this is going to maybe drive a change in consumer habits. You can get online, you can do a lot of shopping and it's driving people to look a little bit deeper, go into the second and third page of a Google search and spend a little more time before they make a phone call or make a few phone calls. So I think that's where that pricing sensitivity is born from. It really is online search, online engagement and it's just much easier to shop nowadays than it was in the past.
Ryan Burke: And then last question, you guys continue to be acquisitive above and beyond the LifeStorage portfolio. You know, $100 million-plus for the quarter or, yes, over $100 million for the quarter, your cost of capital has changed in the form of lower share price. Have you changed your outlook for acquisitions at all? We obviously see what you've put in guidance, but call it beyond 2016?
David Rogers: Well, I think on doing the Life transaction and seeing the reaction, I think our thought here is unless something really sweet comes along and it fits our market and has some pretty outstanding growth characteristics, we had planned on backing off a bit until we, a, digest the LifeStorage portfolio and, probably, more importantly, prove it out to everyone that our underwriting assumptions were, indeed, right. We feel very confident that they are, but we will not be testing the market, even before the downturn of the last couple of weeks, we had come up with this overall capital plan that we're going to be lighter -- I mean, we did almost $2 billion this year in acquisitions. It's going to take us a little time to make sure we're doing it right and let the capital markets settle down and let our investors get comfortable with us again. So, yes, we will not be -- the $100 million that we did this quarter was on the books before we even knew we had an inkling of LifeStorage. So the plan has changed, certainly.
Operator: Our next question comes from the line of Guarav Mehta of Cantor Fitzgerald. Please proceed with your question.
Guarav Mehta: You sold a couple of assets in the quarter. I was wondering if you could talk about are there any plans to sell anymore non-core assets in your portfolio?
Paul Powell: No, we have no other plans to sell properties this year or even going into next year. As I think I've mentioned in the past, on an annual basis we do a pretty thorough review of all our assets and talk with our operations teams and occasionally we'll -- somebody will put forth a potential sale. But right now there's nothing in the pipeline.
Guarav Mehta: Okay and then I understand you have mentioned that you've already acquired a lot of assets and they've made other plans to buy more, but could you comment, in general, as to what you're thinking in the acquisition market as with cap rates and product growth is concerned?
Paul Powell: Yes. There's, you know, we're seeing a decent amount of one-offs and even some small to medium portfolios for sale. You know, we're looking at them and, as David mentioned, we're not going to get too aggressive the remainder of the year. Even so, the quality and locations of some of these assets are not anything we'd be that interested in, anyway and I think pricing is still going to be fairly aggressive, especially on the portfolios. So we're just going to, you know, as David mentioned, remain disciplined and focus our attention on any further acquisitions on being accretive and then, you know, again, we'll continue to review some development opportunities with JV partners. So cap rates, we're still seeing -- they range from 5% to 6.25%. The acquisitions we did in the second quarter, those cap rates range from 5.1% to 7%. So that's a range of class A institutional quality AAB+ properties. The West Coast, you know, we're still seeing some compression of cap rates there. Overall, those are still commanding 25 to 50 basis-point premiums. So, you know, things -- you know, cap rates, I think, are still overall compressed, maybe 25 basis points this first half of the year. And, you know, compression of cap rates and secondary and rural markets continue to compress. So not a whole lot of change from the first quarter from what we're seeing.
Operator: Our next question comes from the line of Todd Stender of Wells Fargo. Please proceed with your question.
Todd Stender: Just a quick one. When you look at Atlanta, revenue was obviously very strong but at the expense of occupancy. Can you talk about this market specifically, just to see how it trends for some of the other markets. If you're pushing rate, occupancy might back off a little bit. Can you talk about some of your assumptions that go into that?
Edward Killeen: Well, right now, as you said, that market is incredibly strong for us. We're off a little bit in occupancy, but part of that is the fact that we've been able to push rates to just an incredible level at 12.8%. Reservations are high, there continues to be a lot of demand in that market. It just appears to be just a real strong market for us and we'll certainly adjust as we start to see things change if they do in Atlanta. But right now it just remains a real strong market for us and we're able to put themselves right through and sort of suppress discounting and occupancy remains pretty tight.
Todd Stender: Ed, does it have to get to a certain level? Does it get to 90%? Or you guys would take your foot off the gas at, call it, 91.5%? Where do you get there?
Edward Killeen: Well, we're at 92.5% right now, I believe. I don't think we're going to take our foot off the gas at this point. We're going to keep on pushing.
Operator: Our next question comes from the line of Jonathan Hughes of Raymond James. Please proceed with your question.
Jonathan Hughes: You know, you mentioned the weak macroeconomic backdrop has begun to impact some tenant behavior, but could you dig a little deeper there? I mean, has the demographic profile of your customers changed? You know, are incomes up or down as business demand is slowing? You know, I'm just looking for some more granularity here on what's happening to your customer base?
Jonathan Hughes: Yes, Jonathan, I'm not sure that it's necessarily macro picture in our case. As I'd said, the demand is up, search is up, so I think our customers are looking for storage. We have a distinct disadvantage from most property types in that we know less about our customer than virtually anybody else in real estate. We don't do credit profiles, we don't get very significant applications. We get a name, address, ID card and credit card pretty much and that's what we know about our customer. So a lot of what we do know is based on industry surveys and our own individual company surveys which don't delve into income, for the most part. The last two industry surveys that have been taken have shown that approximately 50% to 55% of the residential customers who use storage have household incomes of less than $50,000. I don't see any reason why that would have changed since late 2013 or 2014 study that was done. I think that's typical. I think, for us, at our company, we strive to attract and retain commercial customers and we hover around the 30% mark. It's going to go down quite a bit right now, overall portfolio, because of the 140 stores we absorbed. The stores we buy rarely have anywhere near the commercial penetration that we do. But after a couple of years, we build that up. So commercial business is good. We're growing it. We use our corporate alliance and warehouse anywhere programmed to do that. So I think we have good prospects on the business side. I don't think our tenant mix, our tenant usage has changed appreciably at all over the last couple of years. And the only reason it looks different for us is because our portfolio has changed so dramatically over the last 18 months. But if you look at it, say, in two to three years, it ought to be line with the rest of our company stores.
Jonathan Hughes: And then just one more. You touched on cap rates earlier. What's the differential, maybe, between first and second tier markets where it's maybe a little easier to deliver some new product?
Paul Powell: Well, yes, I guess in the first tier, top tier markets, that's going to be the lower range of my cap rate analysis. But in the second tier, you know, cap rates are continuing to compress. I just think it's money -- a lot of money out there chasing deals and so those cap rates continue to compress. I think, Jonathan, one of the things to keep in mind, at least of late and as we look into the future a little bit, the first tier markets that you're referencing, I think, are the markets where the new competition is coming in. You've got New York and Chicago and Miami and Phoenix as among the busiest new developments, even though they're heretofore maybe considered -- or for other property types, considered low barrier to entry markets. Certainly, in our sector they're seeing all the new stuff right now. So when we consider a first tier market it's more in terms of population density, I think, is what we're concerned about. But to say that a second tier market is more susceptible to new comps coming onboard, at least recently is a wrong assumption.
Operator: [Operator Instructions]. Our next question comes from the line of Ki Bin Kim of SunTrust. Please proceed with your question.
Ki Bin Kim: Sorry I got on the call a little bit late. Did you guys already talk about street rates for the quarter since July and [indiscernible] for promotion usage?
David Rogers: I can cover the promotion usage, Ki Bin. The promotion in Q2 were $172,00 greater than Q2 of last year. So they went from, on this same-store pool, $928,000 to $1.1 million. Again, that is the first increase we've seen in a while, but that was the increase from Q2 of 2015 to Q2 of 2016. Street rate -- the other one on the street rate, I think we have the date on street rates for the quarter?
Andrew Gregoire: For June we were 5.5%. I'm sorry, Ki Bin, I thought you said July.
Ki Bin Kim: I did say July.
David Rogers: Well, we don't have the exact numbers in for July, but it's just a bit under that June figure of 5.5%.
Ki Bin Kim: And just on acquisitions, given the slowdown in some markets, does that actually make you want to pull back on your assumptions for rent growth on these deals? And, in fact, just maybe a slower pace of acquisitions for you over the next couple of years? Or is this type of slowdown just, in your mind, very market-specific, maybe temporary, where it won't really impact your desire to buy assets?
David Rogers: Well, it certainly is very market-specific. I think the surprise of it is probably temporary. I think we're going to see a bit of a slowdown, overall, from the 7%, 8%, 9% top-line growth to a more moderate, say, 4.5%, 6% over the next couple of years, if I had to guess. One of the answers I gave earlier, though, had to do with how we expect the assumptions on the stores that we bought recently. The 140 stores we bought in the last year and a half. We expect those to do well. They haven't been on our platforms, they have haven't enjoyed the benefit of the Web marketing team, the professional call center, the RevMan team that we have, they haven't enjoyed any of that. So our same-store mature pool and some of those stores have been with us for 30 years, in some markets have slowed their growth pace. We certainly would not expect that from the stores that we've recently taken on. They should enjoy outsize growth for the first two or three years at our platform and then do as average. As far as our overall appetite for acquisition ordinarily in a time like this, you might think it would be an opportune time to buy. Although we always see sellers lag reality by many, many quarters. But our, overall, just given that the almost $2 million that we bought the last -- just this year, has caused us to give pause. So you will not see us overly active on the acquisition front for a few quarters.
Ki Bin Kim: Okay and just to go back on some of the stats you've mentioned, I think you guys had 75% of your customer base is 2.5% below current rates. So how about the other 25%? Or are those 25% just too short term of a duration of stay to mention where they are versus market?
David Rogers: Yes, Ki Bin, I should clarify that. That was an error I made. 75% are below the current rate. The dollars below the current rate are $25 below the current rate [indiscernible]. That 2.5% was a misquote. I'm sorry about that, Ryan. It is $25 below the current rates is what they're paying. We have 18% they're paying above the current rate and 6% that are right at the current rate. Remember, that current rate changes every week, though. It's not really a metric we try to concentrate on. You know, it's not something we look at a lot. We do look at our current customer increases. Those that are below, what's our current rate and we don't push them above the current rate.
Ki Bin Kim: Okay and just sticking with that, maybe a better stat might be what is the mark-to-market roll down for -- that have stayed over a year that end up leaving -- or rollup?
David Rogers: I don't have it in front of me, but it's been rollup for us for years and we don't expect that to change anytime soon.
Operator: Our next question comes from the line of RJ Milligan with Robert W. Baird. Please proceed with your question.
RJ Milligan: In the markets where you've seen some weakness in terms of the ability to push rates, I'm curious and it probably hasn't happened yet, but are you seeing any movement in cap rates in those markets in terms of have cap rates started to move a little bit higher? Or what's your anticipation for cap rates in those markets?
Paul Powell: No, we certainly have not seen any of that. It doesn't mean we hope that the cap rates would rise a little bit but, no, we're not seeing that in the market today.
David Rogers: Our business, RJ, is when things are good, the sellers are looking to raise their prices and when things are bad, they're looking to hold their prices. So it doesn't work like the economics textbooks by any stretch.
Operator: Mr. Rogers, there are no questions left. I'll turn the floor back to you for final remarks.